Operator: [Call started abruptly] …being asked on every call what's happened when we will be in a post-COVID so we do believe that when it comes to performance advertising it's definitely here to stay and it will grow in the much more rapid way only because more and more consumer being exposed to the possibilities of buying online and the advertiser and buying online advertiser are definitely following this trend. There is a very interesting trend that we've noticed. And that has to do with the type of the format of the digital advertising. And in this case, we've seen that the advertiser are shifting towards what we call high impact formats, I will talk more about it and actually going to show you some of a great high impact advertising, which has a different level of creativity, different level of engagement, interaction with the users, with the consumers, which advertising like and be able to see way-way higher return on ad spend. So that's definitely a very interesting trend that we notice. As I mentioned, the third quarter of 2021, was an all time record revenue. And we showed the 45% year-over-year growth is you able to see on the left side of the bar between the third quarter of 2020 to the third quarter of 2021. We are providing guidance, we will talk about the guidance, but since it's we'll talk about now the last quarter, the fourth quarter and the 2022, we are expecting for three years between 2020 to 2022 a CAGR of revenue growth of 34%. For this year, 2021 to 2020 we're expecting a 40% year-over-year growth. So where the growth is coming from? What is behind it? And what are the growth drivers? First and foremost, the video and CTV revenue has grew by 245% year-over-year. This is definitely the main growth driver and when we will mention the acquisition that we did beginning of October, which is the video monetization platform Vidazoo. So I think you'll get the overall picture how this is a perfect fit with what we're doing. And as far as the other golf there's a higher average deal size, that's one of the most KPI that we're looking at is grew by 32%, quarter-over-quarter. And we are from a customer retention standpoint we're enjoying 109% of customer retention. From EBITDA standpoint, so we are able to leverage our fixed expenses and maintain budget control as you can see it here. And the EBITDA for the third quarters adjusted EBITDA for the third quarter 2021, it was $17.6 million reflect 101% year-over-year growth versus the last the third quarter in 2020. That's on a quarterly basis. On an annual basis, we're talking about the $16 billion of adjusted EBITDA for the entire 2021 that reflect 83% of year-over-year growth between 2021 to 2020. With the outlook to 2022 we can say that, with a $76.5 million, the overall CAGR in these three years 20 to 22 we can see 53% CAGR between those three years. So what's behind it? Most and foremost is the implementation that we did of the hub and spoke of what we call the intelligent hub. I will talk more about the value that the intelligent hub is bringing at this point very, very much behind our ability to leverage our cost. That's the intelligent hub. Second, the fact that we're able to scale and have a cost leverage, improve the budget control and enhance the process automation, the amount of engineering dollars that we are investing on automating process allows us to scale our business but at the same time being more and more profitable. Let's go and dive in into some of the growth drivers that I mentioned. From all the statistics that we're able to get from the different source, I pick this one which excites me very much and has to do with the average time spent per day in digital video by device even that's from April 2020, but the numbers has not changed. It's just growing. And as far as we've seen just before the call, it's close to two hours, two hours that the consumer is spend per day on video content. And that's the main trigger. The first trigger is for the advertiser. And we like to say they chase the consumer. And if the consumer spend more time on video, no matter what screen, they following this trend, and they invest more on all kinds of video advertising. And as a result, we are growing our business and we're growing as you can see exponentially our advertising, that has to do with video and CTV. From a year-over-year perspective, we almost tripled the revenue between the first nine months of 2020 to the first nine months of the 2021 to $32.8 million. On a quarterly basis, it was a great, great quarter for us where we are able to grow our video and CTV business by 245%, which is definitely a key core driver behind this quarter. But one of the most important one for not just Q4, but next year, and the year after with the acquisition of Vidazoo and I will dive into this in later on. I want to show you these slides and very much take you to what we believe is really inspiring. And the point here was, how are we able to have minimum clicks and as you can understand, this is all about minimum clicks between watching the ad, and then doing the purchase. And this is a great example. I hope it will work here. But you're able to see the video running on your screen. And then through a QR code, you able to do the transaction. But the interesting part, it's not the QR code that gets this ad on your mobile device. The QR codes able to take your brand's shopping experience as you can see here on the screen from the big screen through QR code direct to the cart and that's the very interesting technology that we have allow us to be proud with a 1.14% CTR so from the hundreds that basically saw it, we have one that completed transaction astonished results by all means, and taking it from the big screen, CTV advertising all the way to your cart. The next example, which we're really proud of, is the live CTV. As you can imagine, the live CTV is a very challenging one only because the TV ad insertion is not planned in advance, as you probably familiar with. And the whole idea in here I'm very much using one of the senior leader from [Drapkin], who was looking about something exciting and how to spend the dollars on a live TVs and integrate it into the game while we don't want to ruin the experience. So this is how it goes. [Video Playing] I think you've got the idea. But we're really proud of that it's a 19 to one return on ad spend, which is amazing results that were able to combine sophisticated SSAI, Server Side Ad Insertion in a live event and still keep the user very much engaged not disturbing the experience of a sports event. So that's this example. Last but not least the KPI here was talking about grew by 40%, our average deal size, and that's a very important factor. How are we able to take it from close to 80k to 103k year-over-year and as you can imagine, the expenses of delivering this campaign is the same. There is a lot of fixed expenses and while we are increasing the average of insertion order or campaign with us that gives us a great way of leveraging our cost. This is the example of an HBO, that is from the big-big screen, that's the CTV to a smaller screen with your iPad to your mobile; it's all being synchronizing, and that synchronization allow us to take this spend to higher level and as I mentioned 40% and that's a growth driver, no doubt about it. That's definitely growth driver. 7.9% interaction rate that's an amazing results, and definitely allows them to spend more with us and when we talk about retention revenue, which is 109% that's very much one of the reason that this retention revenue is increased over time. So when we talked about video, I need to mention even though it's happened October 3, and this is going to be Q4 is going to be the first quarter that they were with us. So all the numbers that you're seeing on the third quarter is that reporting today, of course, I want to mention it because first and foremost, I think it's described a great fit. I think we checked all the boxes for those of you who were on our analyst calls at beginning of the year, when we talked about what we looking for, what we're looking for in terms of the acquisition, we did a very successful follow on and we were patiently looking for the right fit. I think, we deserve the right fit, I think first from the culture standpoint, and the founders there, but more importantly, the fact that our video is in the rise, how are we able to take it into the next level. And Vidazoo which is the video monetization system is bringing us huge amount of scale of video supply that working with their publisher. That's very important and the reason I entered here the high impact video sweep. And by now you I think you get an understanding what is this high impact. And this high impact require tight integration, as you can see it on the screen, tight integration between the creative part and the player and the video monetization. This tight integration is something that we cannot by all means get into working with third party. We reach our limitation. So our technology guys very much require more and more and the only way of doing it is to have a tight integration, customize it into our own needs and definitely take the high impact video to another level. That's one. It is a creative from day one. It was another box that we checked. And I think the structure plays very well to what we shared with the street. And I think it has to do when acquiring in it the company understanding on one hand the risk, on the other hand, the potential, which is a third cache and to third on an Air now. So in this case, we definitely checked all boxes and I think it's a dramatic increase our reach on general video, but more specifically into the CTV market. I would like I just added the slides, I think yesterday or the day before, I think it would happen in Friday. And we all experienced what happened in SNAP. So for those who are not familiar, I very much would like to take you into iOS 14, probably it will continue and be around us. So on the left side, you're able to see this the screenshots and I will mark it here. And that's a message. That's a message that you're getting from the iOS 14 of course if you're using iPhone and from the iPhone operating system, that very much asking you if you allow this app to track your activity across other companies apps website, whatever. That's the big change. This is the big change. Now, for those who are not doing it, there was a allows fine, but what was not what's happening to the app itself that the lose its capability to track about what you did on the iPhone. This track has one and only one purpose it has to do with targeting, that's it. If you're using your targeting capability, your advertising is not that efficient. It's all about the targeting. There is another thing that I will not get into it, it has to do with effectiveness of reporting. But let's leave this aside. I think targeting is definitely the big drama or let's say lack of target. And I must say that we were well prepared in both ways. First of all, that has to do with our exposure. So when I was talking about again, and again, about diversify our advertising strategy, I meant diversify and be prepared for the unknown. So in a way I'm being prepared for unknown and we didn't know that this is coming. When we decided about diversification, we talked about that almost 45% of our business is coming from search advertising which has nothing to do with iOS 14 no matter what. So this is, we're fine on half of the business. The second part of the business, which is 57.9%, that has no display in advertising, I must say that is following. Third of it, or 18% is only on smartphone. All the rest, which is to third is on desktop. So let's look about only the third which is on smartphone. Out of it I must say that 90% is Android, 90% is Android, which left only 10% on iPhone or iOS, or if you're looking about the entire part, we talked about 2% of the entire revenue is coming from advertising which has to do with iPhone. So there is definitely very little impact from is iOS 14 or this. But this was only one side of the coin. I want to take you into the other side of the coin, something that we are working because it all has to do with one thing where this iOS 14 is coming from. It's coming from one thing, it's coming from consumer privacy, consumer privacy that has to do with your iOS, or operating system and consumer privacy that has to do with cookies which is this on mobile, and this one on desktop, which is a great segue for me to introduce what we just announced, and we announced SWORD, is a privacy first cookie less targeting companies working on this AI technology for almost two years. And we are very, very happy to share with you that we reach a scalable cookie less targeting solution that's in par with or better than third party cookie based targeting options. I have to read it word by word that it's coming from the CEO and co-founder of [indiscernible] who is a body that certify our solution. So we went through a certification that is done with a live campaign and we did a side by side, on one side cookies on the other side and the beauty was that we were able to achieve a higher return on ad spend, translate it into CTR or interaction rate more that is being done with cookies. This is amazing. And this has to do with the great that one investment. But the great guys that we have on board, we have an elite AI team here that is behind of this revolutionary development. Now what would happen? Advertiser that will choose to use SORT and care about the privacy of their user don't want to comp will not compromise on result and will able even to use this symbol. And this symbol is a symbol that will show to their user that this ad unit, this case is handled, ad unit is not using cookies. And we believe that one advertiser that care will definitely use this technology more and consumer that care will not be afraid that someone is being tracked on what they're doing. So it comes from both directions. And we're expecting the results will be the advertiser will drive more business to us. That's very much that what we're doing, and I'm more than anything else, and I couldn't hold myself but to be proud of what the team is doing. I think the most challenging slide that I have in my presentation because it's so technical. But at the end of the day, I don't want to go into it into too much details but our prediction is so high that it can get into a point. So if you ever trouble over here we definitely can say who is unlikely to watch the video, who is unlikely to interact, those are likely to click on site those these are the people that we're able to target and guess what scale later on. And this is definitely something that we're proud. We're proud that not just that we're care about advertiser and their challenge, we also care about consumer which I think a very-very important thing for us as a company, as a consumer, that able to bring this innovation into the market. As far as search advertising. So as we mentioned, our overall search advertising word grew by 14%. But I want to deep dive into something which you will basically say and said, okay, how come it's growing? While we are able to see that this is, you know, very much flat, if this is the third quarter here. It's very much flat. This is the average daily revenue that we're getting. And you're able to see that the average searches is going down. So how come we are increasing our business. What is more important to pay attention is this. Transaction of search intent. The whole word of search is divided into three. We call it informative, directional, and transactional. Only transactional are those transactions that we are getting our rev share, and pay our publisher rev share. So what is more important is to see that trend, the amount of transactional searching intent out of the entire searches is growing and growing rapidly and it has to do very much with what I mentioned, that consumer is doing more and more e-commerce transaction, and guess what they search before they buy, and why they search more, they search more for transactional type of content. Moving on into it. As far as the intelligent hub. So how does all pieces come together? And we added Vidazoo into our chart into the hub and spoke very much model than that, on one hand, we have the set of suppliers that on the other hand, sorry, demand asset. On the other hand, we have the supply asset, but what is more important is the intelligent hub that everything is goes into this hub. And this hub is being evaluated based on three factors. The ability to create value by reducing operational costs and I mentioned it because we have common shared asset that we're doing among the other shared services that we're doing among the different asset. So this is already showing its fruit right now and when I talked about our ability to leverage our expenses this is one. Reduce stack because we are closing the loop. But more important is how we increase customer value. And everything that we did in SORT, it has to do with the fact that we are sitting here on a goldmine that able to get their indicator form so many customer that going through our hub consumer that providing this very important engagement indicator that allow us to develop this type of AI driven sort technology that will improve over time. So our machines are working 24/7 in order to make it just better and better. So you able to see the first fruit for our intelligent hub which has to do with increased customer value. With that I would like to pass it Maoz for the financial results of the third quarter. Maoz?
Maoz Sigron: Thank you, Doron. Good morning, everybody. The progress we have made to build a truly innovative and differentiated advertising platform is deriving powerful financial results. Over the last 12 months, we have generated nearly 439 million in revenues, 56 million in adjusted EBITA representing 30% to revenue and 33% EBITDA to revenue excluding tax. As Doron mentioned at the beginning of October, we closed the acquisition of Vidazoo accretive immediately under the terms of the acquisition agreement, during acquired all the shares of Vidazoo for 35 million in cash upon closing with turnout out of 58.5 million structure performance that is tied to either base metrics. This will be paid in full if Vidazoo generate 32.4 million of EBITDA in aggregate to the end of 2023. They are now will be measured based on theoretical and accumulative EBITDA goal till the end of 2023. 5% on the total consideration, payment allocated 2022, 14% allocated to 2023 and 44% allocated to 2024. This transaction is aligned with M&A model of paying one third of the consideration upon closing and two third of performance including attention elements for the period. I believe that Vidazoo with their unique veto capabilities, will expand our hub and spoke model and will further derive periods of stability and growth in the coming years. Turning now to all financial results. During the third quarter of 2021 revenues for Perion totaled a record of 121 million, an increase of 45% from 83.5 to 83.4 million in the third quarter last year. We achieved this growth while continuing to improve our operating efficiency and profitability. This increase was mainly from 82% growth in our display advertising revenues. The growth in this revenue was primarily due to video and CTV going by 245% from 4 million to 14 million in the third quarter this year representing 20% of the display advertising revenues. Average client size grew by 30% from 78,000 to 102,000 in the third quarter of 2021, the number of clients increased by 12%. Search advertising revenues increased by 14% mainly as a result of a number of daily desirable searches queries were delivered to [Indiscernible]. Our average daily number of searches was 14.7 million compared to 12.8 million last year. We added 17 new publisher to our network. In terms of the mix display advertising of 69 million represented 57% of the third quarter of 2021 consolidated revenues with search advertising represented 51.8 million or 43% of consolidated revenues. Customer acquisition costs in the third quarter of 2021 resulted 73.3 million or 60.7% of revenues, compared to 49.9 million or 59.8% of revenues in the third quarter of 2020. Our media margin remained stable. The average median margin for the last six quarters was 39%. Operating expenses for the third quarter of 2021 were 33.1 million or 27% of revenues compared to 27 million or 32% of revenues in the same quarter last year. With a 5% of operating expenses the revenues has continued to go and reflects the scalability of the Perion business model. Perion’s net income for the third quarter of 2021 was a record 10.6 million or $0.30 per diluted share, compared to net income of 2.1 million or $0.08 per diluted share in the third quarter of 2020. Non-GAAP net income in the third quarter of 2021 was 50.4 million or $0.40 per diluted share, compared to 5.9 million or $0.21 per diluted share in the third quarter of 2020. Adjusted EBITDA increased to 17.6 6 million for the third quarter of 2021 from 8.7 million in the third quarter of 2020. This represented margins of 15% of revenues, or 37% of revenues, excluding acquisition costs. Our continuous efforts to keep media margin level steady and generate incremental revenues with low variable cost is important to efficiency and possibility. During the quarter we generated 14.2million of cash flow from operating activities compared to 6.6 million last year. As of September 30, 2021, we had unrestricted cash, cash equivalents and short term bank deposit of 156 million compared to 16 million as of December 31, 2020. So, this concludes my financial overview. I will now turn the call back to Doron for closing statement.
Doron Gerstel: Closing statement slide before last has to do with revised guidance. I must say that the fact that we are able to generate revenue from both sides of the open web, the demand and supply and the fact that we are able to connect all operational asset as I mentioned into a central hub, increase first and foremost our visibility and increase our sustained business model. In that regards we are revised our guidance for 2021 from a revenue standpoint of 45 to $465 million that's reflect a 40% year-over-year growth. That's one. And from adjusted EBITDA standpoint, the midpoint is $60 million, which reflect an 83% year-over-year growth and other things that we should know that EBITDA to revenue Ex-TAC is 33%, which put us on, I think, the high end of our peers. From 2022 guidance standpoint, we improve this guidance and well, are we calling for $590 million is a midpoint which reflect 28% year-over-year growth. And the midpoint of EBITDA is $76.5 million for 2022, which reflect the 28% year-over-year growth. And the EBITA to revenue Ex-TAC in 2022 is 34%, which reflect a great way how you're able to scale and leverage our fixed expenses and we're moving in this direction as well. Last but not least, I would like to end our call with this picture which is our management team. Unfortunately, the three men, the three executives that are in the U.S. couldn't make it. We had a great time in the Israeli desert. And we are looking forward for the next call. Thanks so much. Operator? 
Operator: Thank you. At this time, we'll be conducting a question and answer session. [Operator Instructions] Our first question today is coming from Jason Helfstein. Your line is now live.
Jason Helfstein: Few questions. Appreciate all the color on the slides. So first, I want to ask about the video format broadly impact on gross margin. Gross margin has been up nicely year-over-year, since the second quarter, the mix of video broadly, both CTV and other ICTV display video is all going up. So maybe talk about kind of should we expect gross margins to continue to move up broadly, over whatever the next 18, 24 months. Two, maybe talk about if you're seeing inflation and Android pricing versus iOS as you know, because of what's what with the Apple deprecation? Are you seeing that? Do you have a bigger mix of Android? And so that's maybe beneficial to you? And then last? Are there any capabilities that clients are asking for that you don't have right now, given that you highlighted the big cash balance, and we would expect you to continue to be focused on M&A?
Doron Gerstel: Thanks for the question. So first and foremost, let's talk about the video margin. And I think that the direction that we took as far as pivoting from the standard video, and putting those creative, innovative type of format at one point maybe narrow our addressable market, because we're really looking for the high end of the advertiser. First and foremost looking for keep, there see a correlation between the creative and their brand equity. And this is one. Second, they're willing to spend, and they spend, very high CPM compare to standard videos which I must say leave us healthy margin in any aspect. So that's the direction and we are planning doing it more and more. And I mentioned that we hit the, the really the limitation of what we can do by using a third party player and third party monetization system that we did. And this was the main trigger behind the acquisition of videos. Now, I think that the sky is the limit as far as what we can do. And our advertiser is pushing us more and more into this high impact video and CTV suite. So this is the one thing. I forgot your second question.
Jason Helfstein: About the video. It was about Android pricing versus iOS and to the extent if you have a higher mix of Android versus iOS, that should be beneficial to you?
Doron Gerstel: Right on by the way I think that we still limitation on iOS, you see kind of gold rush into an Android, the competition there is more than what it was before and definitely challenging. We are hoping that how SORT will help us in order to overcome the competition that's too early to say. But based on early indicators that we have definitely can come up with this iOS, Android kind of battle, stronger than we were before.
Jason Helfstein: And then the last was just on, are there any capabilities that clients are asking you for that you don't have that we should expect you to focus on going forward or acquire going forward?
Doron Gerstel: We are looking on few dimensions in a way strengthening very much our relationship with brands. Nothing is I will put it this way in an LOI stage. But we're definitely looking we need to digest the acquisition that we just did. So nothing concrete. And I must tell you that advertiser are not, they're not pushing us into any kind of this direction. I think that what we have currently with the fact that we cover very well the both sides, the demand side as well as the supply side. I think our main challenges is executing. It's not about adding other things even though our eyes are open.
Operator: Thank you. Your next question is coming from Laura Martin. Your line is now live.
Laura Martin: Hi. Thanks for that. Hey, by the way, great numbers. And thanks for the explanation of the marketplace. I'd like you to step it up a level and go back to the Snap and Facebook commentary. Snap is down about 30% since its earnings last Thursday night and talk to they both said that in the fourth quarter they are seeing weakness in labor shortages and supply chain, which is cutting ad budgets for the fourth quarter. Have you seen anything outside of your premium products just back in the normal world? Have you seen any ad budget pulling back because of these two items affecting the fourth quarter outlook or early next year?
Doron Gerstel: So first of all, as you can imagine, most of the fourth quarter is it's not unrecognized revenue but it's in our pocket in terms of insertion order. So according to revenue recognition we need to deliver but we not see any cancellation we just see that there is a furious competition among those high end brands. Yes there are some issues in supplies. I'm reading The Wall Street Journal and other but we not see any cancellation, any declined vice versa. I think that they're adding more and in some cases in some product we definitely see the shopping season started earlier. And so no slight decrease on demand, not at all.
Laura Martin: That's super helpful. Can you put up the guidance slide again Doron and I just wanted to focus on the fact that you really over-delivered this year, yes, this slide right here and you had very dramatic margin expansion that adjusted EBITDA number really, like doubled your revenue growth. But next year, you're showing that your EBITDA growth is going to be the same level. By the way, I see you're blowing through your 500 of revenue, I hope you don't go on vacation for too long after you hit that metric. But tell me why we aren't going to have much more robust EBITDA margin expansion again in 2022 according to your guidance?
Doron Gerstel: So first of all, ask for vacation, and they allow it to go only to weekends. So we're going to Greece, that's the only thing that as you can imagine they want more, more and more. But the point here, when it comes to, I think 2022 is the following. And I think that what you definitely see is the floor. And with all the improvement that we have in terms of visibility and the modeling and diversification and the two dimension of the reciprocation the cross channel on one side of the dimension and the fact that we are able to do business from both sides of the open web is another side of dimension to our diversification, we need to be cautious here and we rather I think, so on one end, it's impressive, the 28, as you mentioned, but on the other hand, I think we need to be careful and we always like to under promise and over-deliver. The other thing is, and we just finished it two days off site with our board, there are definitely calling for additional investment that we're doing on our technology. I must say that they are really encouraged by the investment that we did on SORT. We establish an A class AI team, which we are start seeing fruit. They very much would guide us to double down on this technology. And that's calling for additional engineering investment that we're doing here and offshore in Ukraine, mainly in Ukraine. So all in all, the being a bit cautious and trying to surprise an additional engineering investment is causing this growth, which you looked at the numbers that you need to sounds, that you apologize for it, it's another thing, but I understand where you're coming from and let us surprise you.
Laura Martin: And then my last question, it has to do with search and the role of search. Search revenue was quite robust, but it does hold down your growth, your overall, it is a headwind to your overall revenue growth. Can you talk about why, like strategically how search adds to the overall story or whether letting things go would really actually hurt the value proposition?
Doron Gerstel: So first and foremost, the search is two very important, strategic role. First, it's a very stabilized I think business and the fact that we're working with Microsoft Bing. And now we added Yahoo into the picture is very much stabilized, it keeps growing. We have a publisher that is working for us for years and we have a very, very good stable type of business. And I think that the fact as I said the transactional searches among the entire searches is growing that's great. This is from the revenue in the EBITDA I think contribution standpoint. But the most important part, and this is very interesting, and I must say that it's growing and it's growing in such a way that it's going to be a huge factor is how search and in this case d D2S is displayed to search, display as an ad unit that we are very much placed either in our site or site that we operating, generating search. This is a very, very interesting technology that we developed based on contextual match and other things. So we are having an endless demand that is coming from this direction through the Microsoft Bing. So we are definitely looking to invest more on this segment of the search business. So I think that we're happy with the results. Last note I think that the company two years ago made the quite the decision. And the main decision for us was to invest on the right side, the supply side of the open web which is something that we didn't have before. And you can do all I mean, we understand that we can do. Now we able to leverage these assets that are in the supply side in order to drive business that it's coming from the search demand that we have on the left side. So it will come together. It will grow up and it's a very nice study type of growth of business.
Operator: Thank you. Our next question today is coming from Jeff Martin. Your line is now live. 
Jeff Martin: I wanted to ask you a little bit more about SORT, seems like a very encouraging value proposition. I'm curious, what's your go-to market strategy is there? If you've had any initial feedback from clients and if you are targeting more than mobile sided display? Or if that's across hair display business?
Doron Gerstel: So thanks for the question, I will, hold on for a second, just a minute, I want to pull this slide. So in the notion, the notion of time, I couldn't explain what is a very, first of all very important factor. The very important factor is the more, we're using not just the SORT, the more that we are analyze those contextual information, users signal, external signal that we're doing on our network, and I'm referring to both the left side and the right side of what they showed on the hub and spoke the better we are. So regardless, if someone is using sore, or not using Spark, what is really important is for us those machines are working again and again in order to do one thing is to increase the prediction. The prediction here of who is going to click on this ad, that's very much the prediction. This is what allows us, first and foremost, to go to market and the challenge was for our engineering team and says we will never ever can go to the market and showing the results CTR wise or interaction rate wise, or all has to do with return on ad spend, which is lower than what they used in cookies. That was the main design factor behind SORT. That's very much. That is a precondition, even before customer will get it. That's one. Now when we're talking with the brand, and we're talking with some, as I said, the really reputable brand, they like one thing because a purpose is become a key word for them. And part of the purpose that we're talking if I'm sorry, that I talk 100,000 feet here, they definitely looking about how is they are developing a trustworthy relationship between them and their consumer. And this whole digital advertising business, I think that kind of the wrong image by consumer, as consumer said, yes they following us. How come they know that I looked at this site, and now they offer me that, because they know that I'm going to is I mentioned to Greece, or I already returned from Greece, and they're still offering me for Telenet and that's create the wrong perception. Now this perception is not has to do with the ad network vendor. The user is no one thing. What is the interaction? The interaction is with Hans Beer, it's not about the ad network or the technology and ad tech that is behind it. And the point that I want to make what I'm hearing from advertiser is how this is going to improve their perception is honest companies that definitely not tracking this user. And I do believe that brands are looking for this type solution not to overcome, let's say, the Google Chrome limitation, or overcome the iOS 14 or overcome this. No they very much would like and because consumer don't care about the ethics, what they care about is the brand and vice versa. So this whole thing is was very much came by us working with our brand, which some of them are our design partners. And they definitely challenge us. I think that the first call was almost two years ago. We able to gain more time, by the way, when the beginning of the year, Google postponed its limitation on Chrome, which was a great thing because we submitted a patent and it was a nightmare to get the certification here. We had to run it live campaign, as I mentioned before, but all in all, the trigger is coming from the brand and I think the brands are able to use it to their favor. And I'm glad that we picked this glove unable to demonstrate such a great performance.
Jeff Martin: I look forward to watching that ad developed here. And then second question, it sounds like you're stepping up your technology investment, based on commentary from the board and recent success in your technology spend. I was curious if that's part of why your 2022 guidance for EBITDA margins isn't perhaps a little bit higher.
Doron Gerstel: Yes. Absolutely.
Jeff Martin: And then, last question was, can you give us an update on travel related advertising? I know that that was originally a pretty significant part of the advertising segment and you hadn't expected that, to come back to a great degree this year. Curious if you could just give us an update there.
Doron Gerstel: Yes. So travel is not back to you know where they were before. I don't know if you guys are aware, but it's impossible for some countries in Europe to travel to the states yet unless you're a U.S. citizen. And so definitely not back. I think that we're, if I'm using 2019 and compare it to where we are today, I think that we're 20% to 25% when it comes to advertising spend to what it was before. I'm glad that despite of it, we're showing these results, and we are looking forward, that this will be behind us. And I know that there are some initial discussion that we have with our travel companies in that they are well, trying to be prepared for the summer, and huge amount of investment. And I'm talking about advertising investment is being allocated for the next number under the assumption that the market will open for travelers, and I think it will be a huge boost for the industry in large.
Jeff Martin: Wonderful, thanks for your time. 
Operator: Thank you. Your next is question for today is coming from Eric Martinuzzi. Your line is now live. 
Eric Martinuzzi: Question regarding the iOS issue again. Just you talked a little bit about Android benefiting at the expense of iOS. But is there any evidence anecdotally maybe from the undertone folks as far as campaigns, desktop benefiting versus mobile Doron?
Doron Gerstel: That's a very good question. As you know, currently, mobile is growing way more than desktop as far as being used. And I think that you need to look at it. So mobile definitely is getting all the attention. You spend way more on mobile. I think I have it here somewhere. yes look at this chart on the left when it comes to number of minutes on mobile versus desktop. This is double. I think that only because of consumer spend the time you can imagine that advertising is spending two times as much in mobile than in desktop. That's fact of the matter. And now another very important factor has to do of course, with the CTV, which is has to do with the big screen. This is a definitely a challenge. But more is has to do with this. I think it has to do with the multiple screen. It has to do with the ability to synchronize between the big screen, the desktop and the mobile that has to do very much of in a way to work, at work, at home, kind of way of us to synchronize in a single campaign between all those channels. Did I answer your question?
Eric Martinuzzi: The question was really about, have you anecdotally seen evidence of the shift to desktop from mobile? And you're saying the answer is no, not really. 
Doron Gerstel: No, not really.
Eric Martinuzzi: And then second question for me. It was just three weeks ago you announced Vidazoo, what are the mechanics of integrating Vidazoo? Obviously, you've bundled them in as far as the guidance go, but behind the scenes, the engineering part of the equation.
Doron Gerstel: So first of all, our philosophy wouldn't come to acquiring companies to leave it alone as much as we can. And think after, I think more than dozen acquisition that I did in my career, I came into this conclusion that any type tight integration is a recipe for failure. So at this point, even keep them there and then try to find out, how are we able to developing a synergy and the reason I pull up the intelligent hub slide is first and foremost it has to do with the revenue growth not shared resources, nothing. I mean, just about how are we able with the fact that we have now own the player, video player, and have a great network of publisher that using Vidazoo, how we able to scale and sell more. This is the only thing that we're doing at this point and only thing that interests us. So how are we able to drive more synergistic type of revenue. And that's the first phase of our PMI and the second phase, we're going to get into some cost saving because as I mentioned, currently, they're not utilizing a lot of the shared resources that we develop on our hub. They have their own for instance, ad server, etc. That's definitely will come, but we're doing it in two phases from PMI standpoint.
Eric Martinuzzi: Okay. Thanks for taking my questions and congrats on the quarter and the strong outlook. 
Operator: Thank you. We reached the end of our question and answer session, I'd like to turn the floor back over to management for any further closing comments.
Doron Gerstel: Guys, thank you very much for joining. I enjoyed the call as well as Maoz. So see you on next call. Thanks so much. Take care. 
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.